Operator: Good morning, ladies and gentlemen. Welcome to the BCE Q1 2018 Results Conference Call. I would now like to turn the meeting over to Mr. Thane Fotopoulos. Please go ahead, Mr. Fotopoulos.
Thane Fotopoulos: Thank you, Donna. With me here this morning are George Cope, BCE’s President and CEO as well as Glen LeBlanc, our CFO. As a reminder, our first quarter results package and other disclosure documents, including today’s slide presentation, are available on BCE’s Investor Relations webpage. An audio replay and transcript of this call will also be made available on our website. Exceptionally this quarter, because our Annual General Shareholder Meeting is taking place starting at 9:30 this morning, we will be ending the call earlier than usual at 8:45. However, before we get started, I want to draw your attention to the Safe Harbor statement on Slide 2. Information in this presentation and remarks made by the speakers today will contain statements about expected future events and financial results that are forward-looking and therefore subject to risks and uncertainties. These forward-looking statements represent our expectations as of today and accordingly are subject to change. Results may differ materially. We disclaim any obligation to update forward-looking statements except as required by law. Factors that may affect future results are contained in BCE’s filings with both the Canadian Securities Commission and the SEC and are also available on our corporate website. On that, I will turn it over to George.
George Cope: Good morning, everyone. Thank you for joining us. We had a good start to the year both financially and from a subscriber perspective in Q1 adding a little over 100,000 broadband subs, up 39% year-over-year. The 4.8% growth in revenue drove 4.1% higher EBITDA on a year-over-year basis and Glen will comment on the CRTC retroactive charge that we were hit with and without that, we would have been around 4.7% in fact. Wireless continued to be an excellent business for us double-digit revenue growth and EBITDA up $8.7 million, excluding the $14 million retroactive regulatory impact that as I said Glen will address. Wireline EBITDA, positive operating trends with EBITDA up 3.1% on the 3.6% revenue growth. At the early in the second quarter, we have begun our mass-marketing of fiber in Toronto. By the end of this year, about 87% of SFUs or single-family units will have fiber coverage to them in Toronto, stable quarter for the media group and really proud that it’s our 50th consecutive quarter of uninterrupted EBITDA growth for the market and in the quarter, we generated strong free cash flow of 9.8% in the quarter. As I mentioned from a wireless perspective, again, very strong subscribers, 68,000 net postpaid additions, up 91% year-over-year, our best Q1 performance since 2011 in 7 years and our fourth consecutive quarter of lower postpaid churn. The Lucky Mobile brand focused on the discount prepaid market is building as expected helped us a little bit in Q1 and that will continue to help turn the tide for us in the prepaid segment of the marketplace. As I indicated before we thought we would see ARPU increases this year in the industry around CPI, you can see in Q1 up 1.4% year-over-year on our postpaid and that’s based on term now we call ABPU which really goes to what used to be known as the average revenue per unit, so overall very strong first quarter. In the last two quarters we have added almost 250,000 net adds, I fully expect the strong subscriber growth to continue this year resulting in Bell mobility being number one and free cash flow generation in the country as amongst wireless carriers in 2018. And that’s pretty significant given all the different accounting changes ultimately free cash flow is our story and having wireless as strong as we expect for this year that should bode well going forward. Turning to wireline, turning to that positive trends in the quarter from the subscriber perspective internet net adds up 31% year-over-year. We added actually about 44,000 of customers were added to our fiber footprint across our different markets. I mentioned the Toronto launch. In fact about 17% of the homes passed in Toronto are already using our fiber network, so some good early signs and of course in the back half of the year we would expect to start to see some of the internet momentum as we go the back to school market etcetera happening with this positive footprint and of course the other markets where we have fiber deployed. IPTV additions up 14,000 as we continue to see that market mature and our footprints not growing at the rate it was at one point. From a satellite perspective continue to see an improvement in the rate of declining substantial. In fact we saw churn rates of 1.24% driving a reduction in our losses of 31% year-over-year as our satellite footprint continues to be more rural and less of subscribers in the urban markets. Residential NAS again another positive quarter there is our losses were reduced 21% year-over-year. Also, I think worst calling out for investors that it was our best business markets quarter in 8 years and so some positive there maybe from some of the economy or just some pure execution, but in the wireline business that’s important as investors would know. And with that we are fairly comfortable that even though we have lapped the MTS acquisition in the next three quarter, we would expect our wireline business to produce positive EBITDA on a year basis. Turning to our media assets, a stable quarter, obviously competing with the Winter Olympics, so we are going to have some impact, but overall we are quite pleased. CTV continued to be the leader in terms of winter programming, some positive results at the TSN RDS with audiences up year-over-year and becoming the number one sports network for a couple of quarters in a row now. Our CTV national news continues to outdistance our largest competitor now with a lead of about 89% or 189% of our largest competitor. Small portfolio, but pleased strategically with our relationship now with Bloomberg to create a product called BNN Bloomberg, now launched, extending our coverage from 12 hours to 22 hours on business news, securing our position as the clear Canadian business news leader in terms of TV services and Crave continued to see steady growth in the marketplace with quite frankly unparalleled content in the marketplace. With that, let me turn over to Glen.
Glen LeBlanc: Thanks George. Before I begin with my usual quarterly financial overview, I would like to remind everyone that starting Q1 ‘18 we are preparing results in accordance with IFRS 15 accounting standards. For comparability, we have also retrospectively restated 2017 quarterly financial results to reflect IFRS 15 impacts. The revised absolute dollar amounts for revenue and adjusted EBITDA are different from previously reported figures for 2017, mainly for our wireless segment. However, there are no significant differences in our 2018 growth rates when comparing year-over-year results on either on IFRS 15 or previous GAAP basis. Therefore we will not be disclosing 2018 on a prior accounting basis. At a high level IFRS 15 recognizes higher upfront product revenue and amortizes direct and incremental subscriber costs such as wireless device subsidies and sales commissions over the contract term. Generally speaking, the higher the magnitude of wireless postpaid gross additions and handset upgrades in the quarter, the greater the favorable impact on EBITDA. It is also important to note that IFRS 15 has not affected the underlying operating fundamentals of our business. In fact, overall free cash flow does not change which is the key financial measure for dividend growth companies like BCE. With that, let’s move on to the summary and financial highlights for Q1 on Slide 9. Consistent focus on subscriber profitability and disciplined operational execution contributed to strong 4.8% revenue growth and 4.1% higher adjusted EBITDA in Q1. This was driven by another quarter of very healthy wireless financial results, continued steady broadband market share growth, improved year-over-year wireline business performance and a final quarter of the incremental contribution from our acquisition of MTS that lapped on March 17. However, BCE’s consolidated EBITDA margin declined modestly to 40.3% reflecting a one-time $14 million retroactive charge to account for the lower final rate set by the CRTC in the recent wireless wholesale domestic roaming tariff decision. Excluding this regulatory impact, adjusted EBITDA as George mentioned was up 4.7% and margin was stable. With respect to EPS, although absolute dollar earnings in Q1 increased 3.1% year-over-year on the back of strong EBITDA growth, statutory and adjusted earnings per share were unchanged at $0.73 and $0.80 per share respectively as a result of the share dilution from the issuance of common shares for the MTS acquisition. Lastly, higher EBITDA was also the main factor that contributed to free cash flow growth of 9.8% in the quarter. This was achieved even with $79 million in higher year-over-year capital spending on further expanding our direct fiber service footprint and maintaining our LTE network speed leadership position. Turning to Slide 10 on Bell Wireless another very good quarter of financial results highlighted by double-digit revenue growth of 10.1%, service revenue up 6.1% year-over-year, while product revenue increased 26.9% on a higher volume new gross customer activations and handset upgrades combined with the higher sales mix of premium smartphones. The notable jump in product revenue growth and related step-down on service revenue growth compared to previous gap is due to the fact that under IFRS as I mentioned more product revenue is recognized upon activation at a relative fair value of the total consideration to be received over the contract term, while the device subsidy recovery component of ARPU is largely removed from service revenue. Remember, excluding the $14 million retroactive regulatory charge I referred to earlier, wireless EBITDA grew 8.7% in the quarter despite higher year-over-year operating costs driven by Bell MTS, higher product cost of cost of goods sold and increased advertising during the Winter Olympics in February. Let’s move over to our wireline segment on Slide 11, total revenue up 3.6%, the result of continued solid broadband Internet and IPTV subscriber base growth, higher wholesale ARPU and Bell MTS incremental contribution in the quarter as well as the improved year-over-year business performance supported by higher IP broadband connectivity revenues and increased data product sales to large enterprise customers. In terms of operating profitability, consolidated wireline EBITDA increased a very respectable 3.1%. This maintained our industry-leading margin at a very healthy 42.2%, which provides substantial operating leverage to support our approximate $2 billion in planned broadband fiber spending in calendar ‘18. I will make a few comments on Bell Media Slide 12. Total revenue was essentially flat year-over-year decreasing by 0.3%, advertising revenue was down 0.4%, the result of continuing soft TV advertising market and a shift in spending by advertisers to the main broadcaster of the Winter Olympics. Although subscriber revenue growth continued to reflect strong contribution from our CraveTV and TV Everywhere GO streaming products. Modest 0.4% year-over-year increase reflected lower revenue catch-up adjustments on contract renewals and settlements with TV distributors this quarter compared to Q1 of last year. And similar to last quarter, adjusted EBITDA was down year-over-year declining 3% and this was mainly due to the higher cost of sports broadcast rights and the CraveTV content expansion. We expect that content cost pressures and ongoing TV advertising market challenges will continue to weigh on Bell Media’s EBITDA performance for the balance of the year. Let’s go over to Slide 13 and walk down on the main components of adjusted EPS which was stable year-over-year and in line with plan for Q1 at $0.80. Higher adjusted EBITDA including Bell’s MTS contribution, delivered $0.07 of EPS growth in the quarter. However, this was effectively offset by higher year-over-year depreciation and amortization expense driven by the expanded capital asset base that now includes Bell MTS and of course the dilution from the shares issued for the MTS acquisition. Notably in mid-March, we completed our previously announced $175 million share buyback program under which approximately 3.1 million common shares were repurchased, generating annual dividend savings of $9 million. Lastly, I wanted to bring your attention to the change we made in our definition of adjusted EPS, which now excludes mark to market changes on derivatives used to economically hedge share based payment plans. This was done to align with peers reporting practices and to ensure that adjusted EPS better reflects underlying fundamental performances while reducing volatility from non-operational factors. Free cash flow Slide 14, as George mentioned we generated $537 million in the quarter, up a healthy 9.8% compared to last year. This was a result of higher adjusted EBITDA and an improvement in working capital, attributable mainly to the timing of supplier payments. Higher year-over-year CapEx as well as higher cash interest paid due largely to the MTS debenture data assumed with the acquisition moderated the increase in free cash flow this quarter. Cash taxes for Q1 remained relatively stable year-over-year, consistent with our full year outlook as higher installment payments were offset by partial utilization of the $230 million in remaining MTS tax loss carry forwards which we intend to be fully monetize during the course of ‘18. We also took advantage of favorable market conditions to successfully complete two public debt offerings in the quarter. The first a 7-year $500 million MTN issuance and the second was $750 million in 30-year U.S. dollar debenture. The U.S. financing represents our first issuance in the America market in more than 20 years. These two new issuances effectively completes the refinancing of near-term maturities to the end of February ‘19 and maintains our weighted average after-tax cost of debt at 3.1%, while increasing our average term to maturity by more than 1 year from 9.3 years to 10.4 years. And lastly a quick update on the status of the Bell Canada pension plan, despite the unfavorable impact of rising interest rates since the end of 2017 on our asset returns, given the 70% mix of fixed income securities, Bell Canada’s DB plan is now nearly fully funded with a solvency ratio that is currently at 99.6%, so getting off of close to fully funded. And finally, let me wrap up on Slide 15. As we stated on our Q4 call last February 2018 growth rate guidance ranges for all of our key financial metrics including revenue, adjusted EBITDA, adjusted EPS and free cash flow do not change as a result of IFRS 15. And we also applied the new accounting standards retrospectively to the 2017 results to ensure year-over-year comparability. Only our absolute dollar adjusted EPS guidance requires modifications to reflect a non-cash increase in EBITDA from IFRS 15 driven changes I outlined earlier. Accordingly we are revising our adjusted EPS dollar guidance upwards to a range of $3.45 to $3.55 for ‘18. That concludes my formal remarks and I would like to turn the call back over to Thane and the operator to begin Q&A.
Thane Fotopoulos: Great. Thanks, Glen. So before we do start Q&A period, I want to remind participants of our time constraints this morning, so please keep your questions brief and as direct as possible, so we can get to as many of you on the call as possible. So Donna please explain how to queue up for call for questions?
Operator: Thank you. [Operator Instructions] And the first question is from Simon Flannery from Morgan Stanley. Please go ahead.
Simon Flannery: Great, thank you very much. I wonder if we could start with 5G, you talked about the wireless-to-the-home initiatives in rural Canada using both 3.5 and 28 gigahertz is a big debate in the U.S. sort of with Verizon leading with microwave, but Sprint and T-Mobile more focused on the lower and mid-band. So, how are you thinking about the various frequency bands and do you think fixed wireless is the most near-term used case or are there other things that you think can generate revenues in the near-term? Thanks.
George Cope: Yes, thanks for the question. Our perspective on this is on 5G, you got to break it into two components and you really just have there is the mobility transformation from LTE Advanced ultimately to 5G technology. And then there is the opportunity for some fixed wireless footprint and we think in Canada, particularly from Bell’s perspective with the amount of fiber we are doing in the urban markets, 5G fixed is likely to play a bit of a role for us in some of the rural markets and you are seeing that in our announcement that we have noted in the quarterly release. Ultimately, of course, we will have 5G mobility in both urban and rural markets, but that would be our view and in terms of spectrum, we are very rich at 3.5 and we are in the midst of utilizing that at the moment for our fixed 5G services. At this point, it’s not licensed for mobile services in Canada. Hopefully, that’s helpful.
Simon Flannery: Yes, absolutely. Thank you.
Operator: Thank you. The next question is from David Barden from Bank of America. Please go ahead.
David Barden: Hey, guys. Thanks for taking the question. I guess just one, could you talk about the mass-market rollout of the fiber initiative in Toronto and kind of what the response you have seen to the marketing itself and kind of are we watching the run-rate happened now or is there a kind of rolling wave of initiatives that’s going to take place over the course of the year that will kind of impact the data and video take rate?
George Cope: Yes, we – first of all, we think for sure it will grow because the positioning of the network now being on in Toronto. If you are here, people would pretty much have noticed we are branding that. And of course we also are as we are branding that also doing it all of our other fiber footprints and hopefully people can see EBITDA in the quarter at 44,000 almost moving to the fiber, where we expect that to continue to grow second half of the year traditionally for Canada for whatever reason on the Internet is the stronger part of that’s got to do with the back-to-school market being so important, the third quarter is a big quarter. So, we are really hoping that, that continues and that would be our strategy with the marketing now to try to capture that important market in the third quarter and obviously the second and towards the third is particularly important. So, yes, I would think we will continue to build plus our footprint of course continuing to expand everywhere as well as in the Toronto marketplace. That’s one of the reasons I call it out that at the end of this year we get to 87% or so of all the single-family units in the 416 footprint that gives us a pretty great ubiquitous coverage footprint.
David Barden: Great. Thank you so much.
Operator: Thank you. The next question is from Vince Valentini from TD Securities. Please go ahead.
Vince Valentini: Yes, thanks very much. The satellite losses getting better, can you give us any sense of where you are at now in terms of the percentage of subs that would be considered more safe rural subs versus still potentially a risk or is it sort of 80% safe now. I am just trying to gauge how much more downside there could be?
George Cope: Yes, you are awfully close and things happy with some of the analyst to catch up with that after, that’s a pretty close number to it. So while we are seeing the churn come down, we are also seeing some benefits, we saw with the Bell Alliant acquisition, we are now seeing some of the benefits with the MTS acquisition, where in those markets the more traditional telco that we didn’t have 100% ownership or no ownership of is now marketing in the rural footprint against the other satellite provider. And that’s helping a little bit on the fringe as well. So I think that’s why we are seeing the lower churn and we are actually within some reasonable balance happy to share with the analysts a sense of what’s urban and what’s rural and what we got on the satellite side.
Vince Valentini: George, can I just follow-up on that like in the area where it is rural, do you have pricing or do these households have good broadband to be able to use OTT services or would you consider this like I have the best video market you have, because they don’t have enough access to competition?
George Cope: Well, let me qualify, first of all, we have a pretty aggressive satellite competitor in Canada in Shaw. So, there is first of all is that choice on the video side on the broadband side in those markets. One of the reasons we have talked about actually some of the fixed wireless we are going to begin to rollout as we think there is an opportunity there from a broadband perspective. And then of course within that context all of those markets of course have LTE advanced services, but of course that’s more a mobile type pricing than it is fixed wireless pricing. But I would say frankly we are still in the urban markets seeing the net TV growth with their IPTV product as well, but yes, that’s a couple of quarters on a row of satellite churn lower and let’s one hope it continues and secondly from our perspective the split is starting to be helpful versus rural versus urban split.
Vince Valentini: Thank you.
George Cope: Thank you.
Operator: Thank you. The next question is from Maher Yaghi from Desjardins Capital. Please go ahead.
Maher Yaghi: Good morning and thanks for taking my question. George, much of your results continue to show good progress and in line with your prior guidance. So, I am going to take maybe this opportunity to just ask you more a longer term question to step back a bit, could you tell us how you view your asset mix right now and if there are certain assets that you would like to decrease or increase and do you see the company entering other verticals to broaden your presence and find new growth opportunities in the future?
George Cope: Thanks for the question and talking about the future. Its interesting conversation, not so much around, we made a number of acquisitions. We think we are in a very good position in that way, but in terms of our asset base, I think we are incredibly excited about it, the investment we are making continue to make in fiber we think as a telco whose national wireless and now 70% of the country with a wireline footprint puts us in one of the best positions of any telco the world in terms of position for 5G, which is going to require fiber to every single cell site and a multiple cell sites going forward you are going to have 3 to 5 years. And so the amortization of this investor we are making in fiber for our wireline business arguably has a huge benefit for the shareholders of BCE on the wireless side as well. So that’s clearly one of the – we think when I look at versus our asset pool 10 years ago completely different. And then second one from us is the aggregation market we are really pursuing aggressively not just linear TV with the OTT market with our all TV product, which really allows us to deliver all the TV services you get in linear TV through our TV license, but without a set-top box and we think that strategically positions us extremely well, because clearly, there is a viewership market that wants to view content in that way and we began that product about the people know 6, 9 months ago and that’s going to continue to build. So, from that perspective, you like the asset mix as well and now it’s really about leveraging the opportunities through a number of technologies in terms of consumer behavior to continue to hold the margins where we have them. Hopefully that’s helpful.
Maher Yaghi: Yes, thank you. And just maybe on enterprise side we don’t get a lot of data on your results and your results on that segment. Can you maybe just give us an update on how was the growth rate in that side of the business looking like and your outlook for that business?
George Cope: Well, first of all, our enterprise is actually in three places, one is Bell Media, which sells advertising and enterprise too, Bell Mobility, which sells significant enterprise and wireline. Those three groups combined because of wireless what on balance probably overall show growth rate. But as we have talked about in the past, the wireline side of the enterprise tremendous market positioning, but structural challenges relative to real estate footprint growing etcetera – retail footprint growing etcetera. However as I did say it was our best quarter I think in 8 years that we have had on the wireline enterprise marketplace and boy, we’d love that to repeat quarter-over-quarter, but one quarter doesn’t make for a trend, but clearly it helps our wireline business going forward.
Maher Yaghi: Okay, that’s helpful.
George Cope: Yes, thank you very much.
Operator: Thank you. The next question is from Aravinda Galappatthige from Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my question. I just wanted to touch on wireless ARPU, obviously, we are starting to see that moderate a little bit, it shouldn’t be surprising given the really strong numbers that we have seen in the past, but I was wondering, George, if you can just add a little bit more color to that, is this more sort of that rollout of premium plus plan starting to lap or are there other factors kind of – that are affecting the ARPU numbers?
George Cope: Yes. Actually that’s what we used to say and I think as we had expected the buckets have got larger in Canada and in a competitive marketplace, so there is more in bucket usage if you will versus out of data bucket usage and that obviously drives the rate of average revenue per unit not to grow as it had in the last 3 years. The other thing, don’t forget we have done the migration largely from the base onto LTE advance. So although we are continuing to see increasing usage that raise of increase in usage that we talked about the last couple of years was pretty significant as people migrated to the speeds that we are offering in the marketplace. So those will be a few things. And as you know the market as we have seen has moved into more competition than we would have had in the past with the additional players.
Aravinda Galappatthige: Okay. Thank you.
Operator: Thank you. The next question is from Richard Choe from JPMorgan. Please go ahead.
Richard Choe: Great. Just wanted to hit on wireless given some strong results from competitors and the results were strong too, but I think people might have been expecting a little bit more, can you talk about your positioning and the competitive landscape?
George Cope: Yes. I don’t think there is an analyst on the street who expected more wireless net adds. And when we normalize Q1 results of our largest competitor, we think we are right on top in terms of net adds and what a great couple of quarters and let’s hope the other peers in the industry show the same numbers and makes it really health industry for our investor, but we are absolutely thrilled. I can’t remember first quarter like this in net adds in wireless. So great positioning, clearly one of peers had a good first quarter and we will obviously wish the other ones well, because it means it’s a healthy market for investors.
Operator: Thank you. The next question is from Jeff Fan from Scotiabank. Please go ahead.
Jeff Fan: Thank you. Just want to follow-up on the ARPU question quickly, if we will take a look at the difference in APU and the ARPU and just take a look at the service ARPU growth, it was flat year-on-year, I am wondering what that trend kind of looks like, because it says that there has been a big help in terms of the or ARPU growth from the subsidy model and I guess the question really is could that service ARPU go negative given the competitive landscape and then what if the subsidy model becomes less of a factor in terms of supporting ARPU growth?
George Cope: So let’s just talk about traditional ARPU, that is really what are we billing at end user. As we have said we reported our quarter there we think is one fundamental that people have to know. And I think the Canadian wireless industry hopefully will continue to report that so investors can see truly what we are billing per unit at the unit. The other metric quite frankly is about amortization and grossing up hardware and it’s hard for me to say it tells you much at all, sorry related to what we are really billing from a custom perspective, because you get this phenomenon of booking the hardware upfront. And so if you have higher growth at sales you can actually inflate that number, but not have anything to do really with you run rate on a customer perspective. So one of the biggest challenges as everyone, all the analysts know on the call is it’s going to be so important to focus on our cash flow, because a multitude of upgrades in anyone quarter can drive short-term EBITDA which frankly isn’t really driving additional cash flow in that quarter. So just one of the challenges, but I think it’s simple for everybody to see as long as we are reporting the free cash flow which of course we are going to continue to do. And I think you are going to see the industry certainly we will – more traditional ARPU will also be a number that we will try to share with the street. Am I right on that Glen?
Glen LeBlanc: Yes. The ARPU, it will follows the cash and I think that’s why it’s so important for us to have reported that and we have seen our peers are reporting that and I thought we will continue.
Jeff Fan: Do you expect that to reaccelerate at 1.4% that you reported on that number?
George Cope: Well, I think I am not going to give forecast on ARPU other than I think it’s fair to say, a couple of quarters ago we started to – this has been an important question from the street we have been saying. We think modeling for the analyst something around CPI, it seems to be would be a prudent thing to do. If it ever does better than that, that’s great for investors. Obviously, we are obviously without giving guidance, certainly trying to give some direction how to look at the market going forward.
Jeff Fan: Okay. Thanks George.
Operator: Thank you. [Operator Instructions] And your next question is from Drew McReynolds from RBC. Please go ahead.
Drew McReynolds: Thanks very much. George, can you provide an update on just from a regulatory standpoint obviously we saw some decisions over the last couple of months with the government wanting to address affordability and we have seen some affordable options in the market. Maybe just provide an update on whether the industry has done enough and just the overall relationship there? And secondly just for you Glen, can you just give us the kind of technicalities of how you go from kind of 99% to 105% on the pension? And does that kind of automatically trigger kind of a lower pension contribution requirement just how the mechanics there work? Thank you.
George Cope: Yes. So, I am going to answer the first part of the question. I think we have had decisions come out of the CRTC that I think reflect the government’s acknowledgment that the country is leading from an investment perspective from a network perspective on the global basis and at the same time the minister has said he wants a competitive marketplace and wants choices for consumers across all different price points in the market. One of the reasons one strategically – one of the reasons we rolled out Lucky Mobile is an opportunity for us in the prepaid segment that we have not played in successfully and secondly I also think it’s consistent with what the ministers agenda has been which is to try to make sure there is affordability pricing across all segments of some products will have different speed available based on the price points and so Lucky really was trying to address some of those issues as well. But I think it would be just in general say, it was just strategically done for that. It also was a market that we were not as successful and that we need to be going forward, because as we see people migrate from prepaid to postpaid and we want to be in that space as well, but generally, the decisions have been consistent, what we would have expected, I would say, consistent what the minister has been saying publicly. It’s probably a little disappointing seeing lowering of roaming costs to our competitors when they have been in the business 8 or 9 years and have had 8 or 9 years now the builder networks, I would question why we would reduce the cost of multibillion dollar companies, but that’s maybe – that’s as you can see given how small it was in our numbers although our retroactive was somewhat immaterial for Bell.
Glen LeBlanc: I will jump in on the second part, Andrew. Thanks for the question. The path to fully funded has been an elusive one as you know all too well, but with the fluctuation in the rising of interest rates we find yourselves at 99.6 now and frankly we even had a day, I think during the quarter where I think it was 99.9, so we are almost at a crack to champagne when we got to a fully funded state. How do we get from fully funded to the ultimate state of 105 which would allow the contribution holidays which you have heard me speak of before would be as much a 200 in a given year, probably 50 basis points and the simple math gets you there recognizing that we are 70% fixed income you need about 50 basis points, because in a rising interest rate environment, what’s going to happen is you are going to see a lower return experience, you can remember the years where we were knocking on some pretty healthy returns, but obviously in a rising rate environment, I would expect that returns to be muted. So, simple answer in the lower return environment, 50 basis points gets us to that ultimate state.
Drew McReynolds: Thank you.
George Cope: Thanks Drew.
Operator: Thank you. There are no further questions at this time. I would like to turn the meeting back over to Mr. Fotopoulos.
Thane Fotopoulos: Thank you, Donna. So, once again I want to thank everybody who participated this morning on the call. The IR team, Richard [indiscernible] and myself will be available for follow-up questions, clarifications, following our AGM later this morning. So, have a good rest of the day. Thank you.
George Cope: Thanks everyone.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and thank you for your participation.